Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning and welcome to Evelo Biosciences Conference Call to discuss its Fourth Quarter and Full-Year 2021 Business Highlights. At this time, all participants are in a listen-only mode. Following the formal remarks, we will open the call up for your questions. Please be advised that this call is being recorded at the company's request. 00:24 At this time, I'd like to turn the call over to Kendra Sweeney of Evelo. Please proceed.
Kendra Sweeney: 00:36 This morning, we issued a press release that outlines the topics we plan to discuss today. This release is available at www.evelobio.com under the Investors tab. Today on our call, Simba Gill, Chief Executive Officer; Mark Bodmer, President of R&D and Chief Scientific Officer; and Jonathan Zung, Chief Development Officer, will review our recent business highlights. 01:01 Before I begin, I would like to remind everyone that statements made during this conference call that do not relate to matters of historical fact, including statements about our objectives and anticipated clinical milestones, the impact of any of our product candidates, and the timing and results of any clinical studies should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are intended to be subject to the safe harbor protection provided by the Reform Act. Actual results could differ materially from those indicated by the forward-looking statements, due to the impact of many factors. Participants are directed to the risk factors set forth in Evelo's annual report on Form 10-K for the quarter ended December 31st, 2021, and the company's other filings with the Securities and Exchange Commission. 01:54 Any forward-looking statements made today speak only to Evelo's operations as of today. Evelo disclaims any duty to provide updates to its forward-looking statements even if subsequent events cause the company's views to change. 02:07 It is now my pleasure to pass the call to Simba.
Simba Gill: 02:12 Thank you, Kendra. Good morning, everyone, and thank you for joining us to review our progress during the fourth quarter. We have fortunate to face the headwinds of the current financial market from a position of strength, clinically and scientifically. Our goal on this call is simple, to provide you with the evidence that Evelo has an exceptional opportunity to create value with a high probability of success. This bold statement from a mid-clinical stage company working in new biology on a new modality of medicine is objectively rooted in both clinical and preclinical data. 02:57 However, much we do not like our current share price it represents an exceptional opportunity for investors in both the short and the long-term. We started working on SINTAX medicines five years ago with a radically innovative proposal, but there is a connection between the small intestine, and the rest of the immune system that would enable orally delivered gut restricted drugs to safely modulate immunity and inflammation throughout the body. 03:32 Preclinical and clinical results have been remarkable. We have observed coordinated down-regulation of multiple inflammatory pathways driving inflammation resolution in both lab animals and in humans. And we now have a good understanding of the immunological mechanism that allows this to happen. The top line EDP1815 Phase 2 psoriasis clinical data that we reported last September demonstrated that SINTAX medicine can have a therapeutic effect with safety and tolerability comparable to placebo. 04:12 And as we heard from both Dr. Strober as well as Dr. Daniel Roling at our KOL event, Evelo’s Phase 2 clinical data supports the potential use of EDP1815 in almost all patients, including importantly the mild and moderate population, which represents over 85% of the 55 million patients with psoriasis worldwide, who are generally not treated with biologics or oral small molecules. The primary unmet need in psoriasis is for this segment of patients. We can't emphasize enough the importance of the clinical data. The trial address the central question, can targeting SINTAX be the basis for a completely new type and class of medicine? The answer is yes. 05:07 Since September, we have reported two further data sets from the Phase 2 trial. The first clinical dataset was the reduced production of multiple inflammatory cytokines from blood immune cells of patients receiving EDP1815. These reductions were statistically significant. Similar reductions was seen in skin biopsies for IL-12, IL-17 and IL-23, all validated cytokines in the skin pathology of psoriasis. This is human mechanistic evidence for inflammation resolution, similar to what we have long observed in animal models. 05:55 The second clinical dataset was the 24-week follow-up data from psoriasis patients in Part B of the Phase 2 trial after they stop taking EDP1815. Many patients had persistent and deepening responses with no flash or rebound of psoriasis consistent with what we now know about the cellular mechanism of action of EDP1815 from preclinical studies. We are delighted to announce data from this Phase 2 trial has been selected for a coveted late-breaking oral presentation this Saturday at 10:10 AM Eastern Time at the 2022 Meeting of the American Association of Dermatology, significant external recognition for the potential of SINTAX medicines. 06:49 Broad set of data are fundamental evidence for new area of biology, which we can harness to create effective safe oral, affordable medicines to treat all chronic inflammatory diseases. In a moment, I'm going to hand over to Mark Bodmer to talk about the scientific discoveries that underpin these clinical successes. Before doing that we wanted to announce today further exciting positive data from the clinical trial examining a faster release capsule. As you know, we have been investigating the potential to consistently improve the release characteristics of our SINTAX medicines. The aim is to see consistent faster release, higher up in the small intestine. 07:40 Imaging results from the next phase of the study demonstrated that the improved release capsules of EDP1815 are able to deliver drug faster and went higher up in the small intestine 88% of the time. Mark will explain these results in the context of preclinical evidence but clearly protects the potential for increased efficacy with this release profile. Putting all of this together, we will focus on this faster release capsule as we advance our programs into later stage development. The faster release capsule gives us confidence that we are likely to see even greater efficacy than we have seen to-date, both in terms of proportion of responders and in-depth of response. 08:29 Mark and Jonathan will now talk about our science and the clinical development plans, and then we'll wrap up with a view of what to expect next. Mark, over to you.
Mark Bodmer: 08:41 Thanks, Simba. Two basic questions for any drug or does it get to the right place? And how does it work, when it gets there? Starting with the question of the right place, the goal as Simba said is simple based on known immunology because in preclinical evidence. It is to protect the drug from acid ingested enzymes in the stomach and release it as soon as possible in the small intestine. 09:07 The new data that Simba mentioned have identified a solution. The headline result, is it at a faster capsule, faster release capsule of EDP1815 opened in the jejunum higher up in the small intestine in 88% of human volunteers in the Scintigraphy study versus 18% with the original capsule. The release of EDP1815 can be measured by giving human volunteers a capsule of EDP1815, which contains a radioactive tracer Technetium-99m. Technetium emissions can be followed by Scintigraphy with an external gamma camera showing how long it takes the capsules to start releasing their contents and wherein the gut this takes place. 09:54 We first tested a capsule that was used in the Phase 2 psoriasis trial, an 18% of subjects this capsule released EDP1815 in the jejunum, an upper portion of the small intestine. The other 82% of subjects released in the ilium at the lower end. This profile was still sufficient to generate the Phase 2 efficacy. Now we know from preclinical experiments that a release profile higher in the small intestine can increase efficacy by as much as 10-fold. Based on this we tested a version of EDP1815 capsules with faster release. 15 and up to 17 of the human volunteers showed release higher up in the jejunum had only two lower down in the ilium, this is 88% higher up for the new profile versus 18% for the original one. This faster release cause much more consistent overall exposure to the active drug higher in the small intestine. 10:56 We tested the efficacy of these different release profiles in mice using very small tablets formulated to replicate the profile of human capsules, which can be given orally. Faster release in the jejunum led to excellent preclinical efficacy. The version that released lower down worked significantly less well, so comparing the human scintigraphy release profile with the efficacy of equivalent profile in mice provides a clear path to building on the foundation of efficacy that we've already seen in the clinic. This is a significant result. It's simple, the faster and higher in the small intestine the capsule opens the more opportunity drug has to exert its effect. Because EDP1815 drug substance is unchanged the fast release profile can be evaluated within our current clinical development plans with minimal impact on timelines. We'll let you know the plans once the details are settled. 11:55 Turning now to the second basic question posed at the beginning. How does it work? What is the scientific basis for the clinical observations both about duration of efficacy after the drug is stopped and the range of inflammation resolving effects? I've touched on this before if we treat mice with EDP1815 they induce a regulatory phenotype in circulating immune cells. We have now shown that this is due to reprogramming a circulating CD4 positive T-cells, this was formally demonstrated by transfer of CD4 T-cells from drug treated animals to drug free animals resulting in inflammation resolution in the recipients. This effect is from the transferred CD4 cells alone, the recipient animals received no drug only T-cells from the treated mice. 12:45 Reduction of regulatory T-cells has been a major elusive goal of Immunology drug discovery for 20 years we've now achieved it with an oral agent, which is an excellent safety and tolerability. This is going to explain the clinical observations in the Part B drug free follow-up portion of the Phase 2 psoriasis trial, the clinical responses seen during the treatment period persisted and deepened after the drug was stopped, probably because cells that conferred efficacy remained even after the drug did not. 13:17 We have also tested for this affected mice with a number of systemic anti-inflammatory drugs, including JAK inhibitors and biologics. So far we've not seen it. The only other drug that does it is dexamethasone, which is not suitable anyway for chronic use, because of limiting side effects. This property of generated regulatory T-cells with the safe oral agent appears to be unique characteristic of the small intestinal axis. It has important implications for the breadth of potential benefit of SINTAX medicines. Most efforts to make more effective medicines are based on breaking common diseases down into their diverse underlying molecular mechanisms, and then more precisely targeting those mechanisms and subsets of patients. The biology of the small intestinal axis seems to allow us to go in the other direction towards a common mechanism of diverse diseases. 14:13 I'll just finish with a brief comment about extracellular vesicles we've said before that the potential for EVs based on preclinical data is to approach biologic levels of efficacy with these all gut restricted products. The physical and pharmacological properties of EVs have provided evidence that they may enable this that interfusion and higher packing densities, due to their much smaller size than microbes. 14:39 And with that I'll hand over to Jonathan to update on our clinical programs, including EDP2939, our first EV products on track to enter the clinic later this year.
Jonathan Zung: 14:53 Thank you, Mark. This morning, I would like to provide updates on several of our ongoing clinical trials, upcoming readouts, as well as planned trials. We announced last month, the dosing in our Phase 2 trial of EDP1815 for the treatment of mild, moderate and severe atopic dermatitis began. We continue to execute according to plan and topline results from this trial are expected in the first half of 2023. 15:22 As a reminder, this is a 16-week multicenter, double-blind placebo-controlled trial being conducted in North America, Europe and Australia, approximately 300 patients will be randomized into one of three cohorts. Cohort one will explore a dose of 1.6 times 1011 total cells of EDP1815 or matching placebo as two capsules administered once daily. Cohorts 2 and 3 are administered as a dose of 6.4 times 1011 total cells of EDP1815 or matching placebo either as two capsules once daily or one capsule twice a day, respectively. 16:09 The primary endpoint is the percentage of patients achieving an easy 50, which is a reduction of 50% in the Eczema Area and Severity Index at week 16. Key physician reported secondary endpoints are the investigator global assessment, the IGA and body surface area or BSA. Key patient reported secondary endpoints, include the Dermatology Life Quality Index, DLQI, the patient oriented eczema measure or POEM, and the pruritus numerical rating scale, NRS. All patients in the Phase 2 trial will have the opportunity to join an open label extension trial, once they complete 16-weeks of dosing. All patients in the open label extension will receive EDP1815 for up to 52-weeks. 17:03 Results from our Phase 1b trial of EDP1867 in a cohort of patients with moderate atopic dermatitis are anticipated in the second quarter. As a reminder EDP1867 is from a different genus to EDP1815 and has been rendered non-live by gamma irradiation. We are excited and remain on track to bring our first extracellular vesicle or EV candidate EDP2939 for inflammatory diseases into the clinic in the third quarter. The healthy volunteer portion will be followed by a cohort of patients with psoriasis. We anticipate reporting Phase 2 results in psoriasis in the second half of 2023. 17:49 In terms of next steps regarding the development of EDP1815 in psoriasis, we have had discussions with community and academic-based dermatologists around our clinical development plans. We anticipate meeting with different health authorities over the next several months to solicit their feedback. This will in turn allow us to finalize our plans for advancing EDP1815 in psoriasis into the registrational trials. 18:18 I'll now hand it back to Simba for closing remarks.
Simba Gill: 18:22 Thank you, Jonathan. You've heard from Mark and Jonathan about the scientific and clinical progress we've made over the last quarter and last year. The data support our bold statement that we have proved that we can harness SINTAX to open up a massive new field, and type of medicine that goes beyond the existing biotech and pharmaceutical products and opens up the treatment of all stages of inflammation with orally delivered convenient, safe and well-tolerated effective medicines. We have uncovered the science that underlies that the fundamental connections that link our gut to the immune and inflammatory system throughout the body. This is a medical and scientific breakthrough. 19:12 To sum up in the last quarter, we've hit all three of our major clinical milestones with very positive results. Firstly, the maintenance and deepening of clinical responses of psoriasis patients in the Phase 2 Part B follow-up. Secondly, the reduction in inflammatory cytokines produced by systemically circulating immune cells and inflammatory cytokine production at the site of disease. And then today and thirdly, the improved faster release profile of EDP1815 capsules. This puts the future of EDP1815 and of SINTAX medicines into an even stronger position as we move closer and closer to realizing our vision to improve health for the hundreds of millions of people living with inflammatory disease around the globe. 20:09 I want to thank the Evelo team and our partners, these are very challenging times where remarkable, commitment and resilience is needed. We have fortunate to have such an exceptionally committed and strong team. 20:21 And with that I’ll now open for questions. Thank you.
Operator: 20:25 [Operator Instructions] And our first question coming from the line of Chris Howerton with Jefferies. Your line is now open.
Chris Howerton: 20:47 Hi, good morning. Thanks so much for taking the questions and appreciate the bold statement Simba from you and the team. So I guess for the -- my questions would be with respect to 1815 in psoriasis based upon the feedback that you're seeing so far from physicians. What do you think is going to be an acceptable endpoint for approval for that agent in mild to moderate psoriasis? So that would be one question. 21:17 And then the second question, I would have is as you're progressing your programs into registrational studies, what is the strategic thinking with respect to business development opportunities. Thank you.
Simba Gill: 21:33 Chris, thanks for the question, good. So on the first question with regards to the endpoints, obviously, we do need to meet with regulators, the plan just remind you and everybody Chris is to engage and complete regulatory interactions with FDA. I mentioned already that European authorities around the middle of this year was meeting all the relevant background information shortly. So we need to get through those meetings obviously to finalize what the endpoint would be. At the moment, we would anticipate that a PGA score 01, so clear or nearly clear skin is likely to be the clinical endpoint. So I know that’s the answer the first question. 22:26 With regards to moving towards registration studies and corporate partnering of you as always been Chris of the opportunity with SINTAX medicines and with Evelo is so enormous that corporate partnering will be a key part of what we do. We cannot capture the massive breadth of the opportunity on our own. At the same time, we've always been unashamed and very clear that we have one of those rare opportunities in the history of science, medicine and biotech to create something that could completely transform healthcare and biotech. We've always said that SINTAX medicines have the potential to be even more transformative than monoclonal antibodies have become and in that context of you philosophically is the best way to develop that pipe of innovation to patients is to remain a strong independent company that forward integrate and becomes a key for other biotech company. But we will do that together with partners and what it translates to is an openness to forming partnerships, which allow us to do that, Chris. So capturing a lot of the forward value, remaining of the products including 1815 and allowing us to forward integrate and build towards that fully integrated company.
Chris Howerton: 23:50 Okay, all right. Awesome, thank you so much and then appreciate everything moving forward.
Simba Gill: 23:56 Thanks, Chris.
Operator: 24:01 Our next question coming from the line of Gary Nachman from BMO Capital Markets. Your line is now open.
Gary Nachman: 24:09 Hi, good morning. Data from the Scintigraphy study on the earlier release of 1815, are there any additional GI side effects releasing drug earlier in the small intestine? And for the two patients, who didn’t release earlier 88% was clearly a good outcome. But is it ever possible to get to a 100% with these formulations? And is there a chance that you'll need a small clinical bridging study before moving into Phase 3 for psoriasis and then I have just a couple of quick follow-ups.
Simba Gill: 24:47 So, sorry. Hey, Gary. How are you doing? Just remind me on the first question, Gary, I couldn't write quickly enough.
Mark Bodmer: 24:52 I've got it actually, Simba.
Gary Nachman: 24:55 The GI if there are any GI side effect?
Simba Gill: 24:58 Yes, got it. So no, on the first question and very importantly, Gary, it’s a core piece of the platform as you know, we continue to see an extremely safe and well tolerated profile in all of the clinical studies we've done, we've been in over 500 human subjects at this stage. And consistently seeing very, very clean safety and tolerability, so nothing to be concerned about their, including with regards to the faster release capsule. 25:32 In terms of 88% versus 100%, absolutely, always possible to do better and better at life Gary, it’s one of my core life principles and that also includes with regards to the science around a release assets, et cetera. Having said that 88% is a great result, we are ecstatic, Gary. And just to remind you, in the preclinical models exposure early and over the full -- and that could be of the small intestine led to antibody like efficacy consistently in animal models. So this type of result where we're seeing 88% releasing quickly in the jejunum is remarkable and is very, very encouraging for what would like we see in the clinic. 26:28 And that then links to your next question, in terms of any bridging studies. We don't anticipate there'll be a requirement to do that. Obviously, we do have to have the conversations with regulators. We will be moving as quickly as possible into a Phase 2 atopic dermatitis study and more details to follow-on that, but we expect we'll be able to do that in short order without impacting any of our existing clinical studies.
Gary Nachman: 27:00 Okay, that's great. And then, congrats on getting the late-breaker at AAD, so any additional Phase 2 data and 1815 that you'll present there or will it be, what we've seen already? And then the 1867 in atopic derm, what should we’d be expecting to see from the interim 1b data and just remind us a little bit more what the differences between 1815 and 1867? And could you ultimately pursue both for atopic derm or will you just pick one in the end? Thanks.
Simba Gill: 27:36 Yes, so let me take the 1867, second question. I'll let Mark take the first in terms of the difference between 1867 and 1815, you know, I have done it again as you go through your first question, we’ll come back to that at in a moment. So in terms of how we will develop 1867 and what the expectation is? It’s not an interim, the Phase 1b will be top line and we're looking at essentially topline efficacy data, which is what we'll report out in a similar way to what we've done historically. And we should have that very soon actually. 28:18 To the degree we get positive data there, the one of the many beauties of both 1867 and 1815 is what we've seen preclinically as breadth of efficacy across many different areas of inflammation, including for example neuro inflammation, so if we were to see a positive result from 1867 there's many different directions, in which we could develop it. We could potentially have two products in atopic dermatitis, they could address potentially different segments of atopic dermatitis, we could also segment obviously inflammation and focus on 1867 in different indications to 1815 to be clear atopic dermatitis is a clinical proof of principle for us and there is not necessarily the indication in which will move forward with 1867. It's a way to get a false positive result in the clinic with some fairly clear endpoints and ability to -- for example, look at patient biopsies et cetera. So lots of different ways we could take it forward. 29:26 Mark, do you want to answer the question on 1867 versus 1815 in terms of how that different?
Mark Bodmer: 29:32 Yes, sure. Thanks, Gary. There are three or four points, that EDP1867 is isolated from a small intestinal sample just to reinforce that point, these would be cozily resonant microbes, not microbes that come from stool samples. And it’s in these in cozily resonant microbes that we find a good activity. Maybe taking that seven most probably a little sample in a patient with [indiscernible] in remission, it's taxonomically quite distinct from EDP1815. And one of the things that we have as a strategy from the outset was to look at range of taxonomy, which is effectively a range of biochemistry in these to find out what the potential of different types of bacterial isolates, other extracellular vesicles impact would be for pharmacological properties. This one has a molecular mechanism of action, which is slightly overlapping, but actually different from EDP1815, its different patterns of -- pattern recognition receptors including Toll-like receptors, we're very potent activity. 30:41 The other thing which was – key with this is that part of the manufacturing process in those gamma irradiation and when we talked a lot about the fact that our products work through direct action and not through colonization and being live biotherapeutic products. EDP1867 was dead by design at the point when a patient takes it. So all of the activity that we've seen preclinically and what we're looking for clinically this is due to direct interactions with microbial preparation with host cells in the gut.
Simba Gill: 31:15 So, Gary I remember your other question with regards to the AAD presentation, so --
Gary Nachman: 31:20 If anyone.
Simba Gill: 31:23 Yes. So yes, we are obviously thrilled, first of all that we've been selective late-breaker. As you know very unusual for that to happen for a mid-stage clinical biotech company, I think it's great validation trial. The derm community is seeing the potential for what we're doing. We will provide more color, obviously than we've been able to do so far. That said, obviously the three key pieces of data beyond the top line efficacy we've reported out on obviously folks today as well as recently. So, but I would encourage you to listen to it.
Gary Nachman: 32:02 Great. Okay, thank you.
Simba Gill: 32:05 All right. Thanks, Gary. Saturday morning 10:00 AM good time to listen. I’ll put you on that later, Gary.
Operator: 32:18 Our next question coming from the line of Joseph Thome with Cowen. Your line is open.
Joseph Thome: 32:23 Hi, there. Good morning and thank you for taking our questions. Maybe the first one on the EV candidate, are you going to be using the same formulation, as this updated formulation that release is higher in the jejunum. And maybe, is there anything differentiated about the release kinetics or and aware the EV candidate should release in the intestine that might be different than the first generation candidates at all? Or do you expect, kind of, better efficacy with similarly genetics?
Simba Gill: 32:53 Yes, so hi, Joe. Look forward to skiing with you later today, hopefully. So, but the beauty of the faster release capsule formulation is that, it's platform related as opposed to product related. So whether we're talking about microbes or EVs, it's a dramatically improved release profile, it should be applicable for all [indiscernible] going forward. So we will -- we anticipate we're going to use it for the EV straight away as well. And again I said it already, but we are thrilled with that result. It's really the best possible result we could have expected. And we see it as having potential to drive very significant increase in efficacy across everything we're doing microbes or EVs.
Joseph Thome: 33:44 Perfect. And then I know on the KOL call, the other week, they mentioned potentially using 1815 in psoriasis and more severe patients potentially is a combination approach. I guess how straightforward is that clinically -- are you able to get reimbursement for combination therapies? And have physicians prescribe this? Or do you need to have additional data showing combinatorial benefit in more severe patients before uptick in that segments?
Simba Gill: 34:12 Yes. So in the real world very straightforward, it was actually touched on very briefly at the KOL event we had recently. So we may, for example, have to go through step through at least initially in the mild and moderate certain segments of mild and moderate what topical are, you know, gold standard, Joe, but that will be very, very straightforward clinicians are used to doing it, and it should be very straightforward. That's what we've been through that, then in the real world use in combination will be very, very straightforward we expect patients will, for example, in practice at least initially go on acute topicals to treat acute flares for example and then essentially equivalent of maintenance on 1815 with predicted use of topical, so we expect where this will -- we'll start off and then moving potentially to monotherapy with 1815. So we think it's going to be very, very straightforward.
Joseph Thome: 35:14 Perfect. Thank you very much and see you later today.
Simba Gill: 35:17 Thanks, Joe. Look forward to that.
Operator: 35:22 Our next question coming from the line of Kristen Kluska with Cantor. Your line is open.
Kristen Kluska: 35:28 Hey, good morning everybody. Thanks so much for taking the questions. With the new data that you reported today, I wanted to ask how specific and topical targeting of the small intestine relates to the targeting of the dendritic cells and macrophages and also how the -- it correlates with the intestinal resident immune cells?
Simba Gill: 35:51 Good morning, Kristen, always good to hear your voice. I'll let Mark answer that.
Mark Bodmer: 35:57 Yes, actually, Kristen that's a really interesting question more detailed view of the preclinical support for the hypothesis of higher release includes looking at the distribution of immune cells longitudinally throughout the gut -- throughout this very nice publications about this which we referred to, interestingly the dendritic cells in particular are at higher densities and we've got more in the upper parts of the gut in the -- with the jejunum, which is relatively short and into the jejunum. So we have the hypothesis from the outset, but that would be a place to target. 36:32 The other thing is, if you think about the primary role -- job of the gut immune system, it’s actually to stop the immune system responding to things, because the gut while the mouth and the stomach as well, massive amounts of foreign stuff are coming into the body constantly and it be a disaster, if we had immune responses against all those things. So actually what we're doing is we're harnessing the natural ability of the gut to actually prevent inflammatory responses against early foreign stuff that's coming in -- at a sort of principal level, I think that's one of the drugs we are doing, we are providing a pharmacological levels stimulus at the right dose to engage those systems with natural function is to maintain homeostasis in the face of continued foreign barrels of food and all of microbes and everything else that's in the food but we ingest and though that we've taken from environmental things that is focused on the higher parts of the small, small intestine. 37:31 So it was, we will talk about this very much, because it gets the complicated in the immunology, but it’s actually built into the understanding of small intestinal immunology and actually it’s taking a step back and thinking about it, what it's -- will always most people think the immune systems was to protect against infection of cancer at one level, that's true, but if you've got a system like that, you need an even more potent systems prevented continuously being an uproar. And that's essentially what harnessing SINTAX with these types of medicines appears to be doing and doing it as Simba always emphasizes for immune resolution on multiple pathways of inflammation. So this is not molecular targeted single pathway intervention, as occurs naturally all systems are taken down in parallel to reestablish the normal homeostasis is just what the body normally does. 38:24 And Kris, one final point it's able to do that, because of the way the gut the immune system works without generally if you give me the suppressive responses, we do not immune suppress ourselves by training to have adverse reaction is the most of the foreign antigens were exposed to. So this whole clinical profile that we're describing it's complete sense in terms of the distribution of immune cells in the gut and in terms of the predominant requirement functionally for the gut immune system. Hope that was clear enough.
Kristen Kluska: 38:57 Yes it was. Thank you for that. And then wanted to ask you about the pediatric market for psoriasis, how you view this and in light of everything that you've communicated, the KOLs have stat about route of the administration safety et cetera. Is there anything that you would emphasize or perhaps say is different about the opportunity for an oral therapy for pediatric? Thank you.
Simba Gill: 39:24 Yes. So I should go above psoriasis just in terms of responding to the question. So if you look at inflammatory diseases particularly HP's massive issue in children and pediatric populations. And obviously when we're dealing with children the safety and tolerability side of things becomes even more paramount than it is normally. And it is a major limitation of almost all current inflammatory products, very, very hard to prescribe them to the pediatric population. I don't even know, if you've got full interest in that, but anybody who has a trial just to put it in context, I was about a one and four trials of an atopic inflammatory disease and condition. 40:13 And obviously as a parent of those children you want to stay, very well tolerated product. So we have the safety and tolerability profile, which I'll keep emphasizing it is essentially completely unique in the world of inflammation and is ideally suited to use in the massive pediatric population, who suffer from inflammatory diseases, HP's in particular, but more broadly. The next piece is obviously what you're touching on which is how do you give children, particularly a little ones a medicines from a formulation perspective. 40:49 Obviously, if we're talking about teenagers and so on relatively straightforward even unruly teenagers are able to swallow tablets and capsules. So no issue that in terms of formulation issue is obviously to go younger administration cannot be done through an oral capsule delivery for example in very young patients. So we are working already on alternative formulations, which would allow injection for that pediatric population and that's a work in progress basis, Kristen. Confident we'll be able to get that, so no issues around all of that. And I think the most important thing is we're really excited about the potential here for the pediatric population, very, very happy to have clear path forward in the first instance and we see huge potential for what we're doing in pediatrics.
Kristen Kluska: 41:45 Great, thank you.
Operator: 41:51 And our next question coming from the line of Vikram Purohit from Morgan Stanley. Your line is open.
Gospel Asonye: 41:58 Good morning, everyone. This is Gospel on for Vikram. We have one question, and the question is, what would the plan clinical study of the first release on EDP1815 capsule, look like in terms of design and size? And has there been any regulatory input to guide the study design that you have in mind here?
Simba Gill: 42:22 Gospel, good morning. I appreciate the single focus one question, and I think you're focused on the right topic. So again, most importantly, we are thrilled with the faster release capsule and it dramatically improves the likelihood that we're going to be able to get. Great responses in a very significant proportion of patients, we have just got the data Gospel. So we have not yet interacted with regulators, we're working through clinical study designs more to follow on that, but we expect we will move forward with a powered Phase 2 study to show clear benefit in atopic dermatitis and that will get going very quickly and we expect we'll likely have results from that. Certainly, there is not yet formal guidance, but I would expect somewhere around first half of next year as informal directional sense of what we're expecting and will interact with regulators in due course, Gosp.
Gospel Asonye: 43:26 All right. Thank you very much.
Simba Gill: 43:28 Absolutely.
Operator: 43:33 And I'm showing no further questions at this time. I would now like to turn the call back over to Simba Gill for any closing remarks.
Simba Gill: 43:40 Thank you very much. So thanks very much everyone, obviously, remarkably exciting times for us, things continue to progress from strength-to-strength, so we are extremely excited about where we are and very confident that we're going to be able to realize the broad vision that we have for Evelo, it is very clear at this stage that the small intestinal axis exists and at investor conference right now and have had some very interesting discussions on the ski slopes and of mice glasses of wine. 44:17 But what's very clear from those conversations is what we've always said, this is one of the rare situations in biotech and medicine and science where we've uncovered a fundamental platform linked to a completely new era of human biology that we didn't know exists, but existed before that plays a fundamental role in regulating systemic community and inflammation throughout the body. As you've heard from us repeatedly including today from Mark, we have uncovered the key connection between the gut and systemic immunity in inflammation that probably links to the evolutionary background of microbes needed to make sure, as Mark said they don't trigger a systemic inflammatory response. And very quickly, we've now generated very clear positive Phase 2 clinical data showing that we can harness that was something that's very safe and well tolerated and today's faster release capsule formulation really takes it to the next level. 45:18 So we're in a fantastic place and look forward to keeping everybody updated. We've got a lot of continuous news flow in the near future. Thanks very much, everyone.
Operator: 45:33 Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.